Operator: Good morning. My name is Rob and I will be your conference Operator today. At this time, I would like to welcome everyone to the Brag Gaming Group First-Quarter 2022 results conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. If you'd like to ask a question during this time, simply [Operator Instructions]. If you'd like to withdraw your question, again [Operator Instructions]. Thank you. Yaniv Spielberg, Chief Strategy Officer, you may begin your conference.
Yaniv Spielberg: Good morning, everyone. And thank you for joining Bragg's first quarter of 2022 results presentation. You'll hear today that our first quarter was our best quarter to-date. We couldn't have done it without the hard work of every single member of our team, Slovenia, Malta, Las Vegas, Reno, and other places. So before we start I want to take a moment and thank everyone for their hard work and continued hard work. With that said, I'm going to ask everyone to turn to the second page and look at the Safe Harbor statement. Please familiarize yourself with the Safe Harbor statement on the second page as some of the comments that Ronen and I will make today will include forward-looking statements as defined in the Safe Harbor statement.  With that, I'll begin the presentation and then I'll pass it to Ronen Kannor who will host with me this morning to discuss the financials. Today we'll discuss our quarterly highlights, we'll also discuss the strategic focus and focus on the content production that we ramped up. We'll talk about M&A licensing and new markets. Ronen will walk you guys through the financials and guidance and then we'll conclude with an outlook and conclusion, at which time we'll open the line for questions. Thank you very much, everyone for joining. I want to start with the quarterly highlights. The first quarter of 2022 was a strong quarter with a strong growth driven by ongoing content and platform expansion and new market strategy. You will see that the first quarter strong financial performance is the strongest, we've had to-date. First-quarter 2022 revenue came at €19.4 million, that's 36.4% growth on our first quarter of '21.  The adjusted EBITDA for the first-quarter came in at €3 million, which is 26.2% growth on our first-quarter of 21, and of course, our gross profit margin increased by 490 basis points to 51.8%. There's also been first-quarter business momentum. Very strong revenue in Q1 was driven by underlying recurring revenue and recent new market expansion, successful launch of new proprietary studio Atomic Slot Lab, 2 titles the were released in Europe, and we'll talk about that more in a few slides, and then of course, the continued successful rollout of new market strategy were alive in the Czech Republic and Bahamas, and we continue our growth in the U.K., Switzerland, and Spain. Recent developments include going live in Ontario. Ontario market opened up for operators on April 4th, and Bragg is a fully licensed gaming-related supplier in this new regulated market. We also entered the regulated Portuguese iGaming markets for the first time with the bet click launch, and we continue to grow our presence in the Dutch market announcing our third and fourth time customer with the brand 711 at that nation.  I want to shift gears and talk about expanding our strategic focus on content. It started, as I'm sure you guys are aware, with the acquisition of Wild Streak in June of 2021, and we continue to focus on content as it becomes a very important factor in our success story. And I want to talk to you about the benefits of the proprietary and exclusive content expansion on Slide 7. You'll see that we continue to invest in our in-house gaming content, and to integrate new exclusive content providers. We break down our content into two categories, we have our proprietary content as you can see on the slide, Slide 7 at the top, and then the exclusive content providers at the bottom. The expansion of proprietary content is expected to drive gross profit and EBITDA margins. For proprietary content from our in-house studios, we capture approximately a 100% of the revenue. For content from partner studios, we capture about 25% to 35% of the revenue, and we now have four in-house content studios, which include Wild Streak, Spin, When it Closes, Atomic Slot Lab and of course, the Oryx studio.  We also have exclusive content that comes from our exclusive partners, regular and diverse exclusive content from partner studios offers portfolio diversification and geographical differences, games that are built on our remote gaming server are not available anywhere else in the market, we have diverse and localized portfolio where we can tailor to the European market and the North American market and then upon expansion to other markets, and of course we're leveraging proven track record and bringing land-based brand online, balanced with the selection of new high-quality online first studios. And so I want to focus on the proprietary studio update on Slide 8. And you'll see on the slide that we have really three studios that we can discuss on this slide, but one of the studios, the acquisition of Wild Streak, is broken down to online and land-based. Wild Streak, as you guys remember, is an acquisition that we did in June of 2021. We're on track to release five games via our partnership with Pragmatic Play this year. So far the successful partnership which was established with Pragmatic Play last year resulted in total seven games.  That were released and are currently live. These games that are released by Wild Streak show strong player retention and continued growth in the numbers. And of course, there's also other success stories of the Wild Streak online content which have been released in other markets, like the drag and power, which had a record quarter in New Jersey in the first quarter of 2022 and was also recently launched in Michigan in West Virginia. The strength of the Wild Streak brand also resonates really well in the land-based. Wild Streak, land-based has agreements with IGT, with Sega Sammy. One game has already been released with IGT in 2022, with four additional games currently in development. The last three games that were released by the Wild Streak gaming, land-based version, all made it to the top 25 A-List [Indiscernible] Nucor game report with increase in sales. And the success of the IGT deals resulted in IGT actually extending the deal with Wild Streak for additional four titles, which will start developing and deliver in the months and the year to come.  There's also been four titles that launched this year with Sega Sammy, including the well-known online brands, Congo Cash and Fairy Dust. And these will go into the land-based with Sega Sammy in the second quarter and third quarter of 2022. In addition to that, as we discussed on our last earning call, we've also created a new studio -- a new in-house studio called Atomic Slot Lab. The launch of the new studio with high quality content, focusing on the European markets. We released our first game, Egyptian Magic in the first-quarter, which was a top 5 game ever released on our platform, on our RGS, our remote gaming server. We also released Paradise, which launched in the first-quarter, towards the end of the first quarter of 2022 with increasing success. Total of 11 pilots to launch this year in Europe through the Atomic Slot Lab and 10 titles to be launched in the U.S. with customized maps, line count, and other game variable for each market.  The beauty in our ability to tailor gains for the European and the North American market is that we're able to leverage well-known brands, exceptional maps, and exceptional graphics to tailor to the different markets, the European market and the North American market, with growing success. And then of course finally, our Oryx studio which has been in operations for quite some time, has been revamped with new leadership, growing team and talent, and we revitalize the identity and quality of the game designer production given what we've learned from the Walter (ph.) gaming and the Atomic Slot Lab. Six new games are planned to launch in this calendar year with our North American debut also expected this year with custom U.S. specific math.  With that said, I want to focus on Slide 9 on the game release road map, both the proprietary and the exclusive content. You will note that in prior years, we had game releases in Europe and the rest of the world, mostly from Partner Studios, which were exclusive, but not proprietary. If you look at 2022, you'll see that we're going to release 22 games out of 49 games that are proprietary games in Europe and the rest of the world, and we're going to release 22 games out of 39 games, proprietary games, in North America. This is important because quality is more important than quantity for us. The key point here that we want to drive is that we move from 20% proprietary content to over 45% proprietary content and so we keep more of the revenue, releasing 88 games in a year puts us up with top game publishers in the industry.  To name one, Evolution Gaming, which includes evolution that turned Red Tiger and Big Time Gaming, also announced, by coincidence, that they'll release 88 games in 2022. Forty-nine games that are released by us in Europe equate to almost one new game per week, and operators generally would struggle to take more than one game per week from one supplier, so it really ties in nicely for one game per week in the European markets, both proprietary and exclusive content, and as we roll out our North American strategy, a similar strategy for the North American markets with proprietary and exclusive content. With that said, I want to move on Slide 10 to M&A licensing in new markets. Updating you on the Spin transaction, we talked about it a lot, we're hoping to close. I can assure everyone that we've submitted all the last documentation that were required for the Pennsylvania Gaming Control Board and has been sitting on their desk for review and consideration.  We're hoping to be included in the May 18 agenda for the Pennsylvania Gaming Control Board. Once we get the approval from the Pennsylvania Gaming Control Board on the licensing of the individual and the entities we'll be able to close the Spin transaction. Despite the length of time that it's taken to close the Spin transaction, I assure you are like I assured you in last quarters, we've been working as one unit with respect to the perspective deals in the North American market. We've been working with the Lab, we've been working with agencies to get everything sorted, so once we get the clearance from the regulator, including the Pennsylvania regulator, we can hit the ground running and then have the Oryx technology, the Wild Streak games, the Oryx games distributed through Spain, in the U.S. and of course in Ontario.  On Slide 12, you will see that we continue to roll out our confidence technology in newly regulated markets in Europe, North America, and globally. New licenses and new market entries include the Ontario, Canada market, which I discussed we obtain our supplier gaming license in March, and the market rolled out as legal on April 4. In Bahamas, we obtained our supplier license in the first quarter and we launched with Island Luck in March. In the Czech Republic, we had the first market entry in February, taking content live with the sign-out group. We also had content agreement signed with micro game, which is Italy's larger distributor of online casino games and preparation for market entry later this year.  We got our PAM our Player Account Management certified for the Czech markets in preparation for player account management launch with Merkur later this year as well, we announced that in November of '21, and of course we continue to roll out content in the United Kingdom, launching with SkillOnNet in January. So far, we've shown great progress in North America, we really are expecting to obtain our Pennsylvania license in the second quarter of '22, this of course, paves the way for the completion of the Spin Games acquisition in the second quarter and subsequent U.S. content roll out in the third quarter of '22. As I mentioned, we're working tightly with Spin and the regulators to make sure that once we get the license and once we close the transaction, we have a smooth roll out of licensing and certification from the laboratories so we can hit the ground running.  We've also applied this quarter for supplier license in British Columbia and we're hoping to leverage the Spin agreement with the BCLC and provide our content to the BCLC in BC in Canada. As you guys are aware, we continue to work on licenses and certifications in various markets. On Slide 13, you will see that Bragg's addressable market continues to expand rapidly, as online gaming companies grow aggressively and land-based companies look to migrate online. Bragg expects to enter the North American markets with our own proprietary content and exclusive content in the third quarter of '22. We've started the roll out in Canada, in Ontario with 888. We're hoping to get our final approval from the U.S. regulators in this quarter and roll out our content, proprietary and exclusive in the third quarter. Even in the first quarter of 2022, Bragg total addressable markets equates to about $13.5 billion, including the United Kingdom, Germany, Netherlands, Greece, and Canada. As we continue to get our licenses and certifications, we're expecting to grow the total addressable market by the end of the fourth quarter to $21.5 billion, which will include our existing markets, but also going live in Italy, United States, rolling out Canada including Ontario, NBC, and other new markets.  If you look at the future, we're estimating that by the end of 2026, including the growth in the North America market and the European market, Bragg's total addressable market will be at about $43 billion and that presents an immense opportunity for revenue diversification, revenue growth, and increasing customer base to grow our revenues well in to the future. I'd like to turn the presentation to Ronen to discuss the financial and the guidance for the first quarter of 2022 and the rest of the year.
Ronen Kannor: Thank you, Yaniv, and good morning, everyone. I'll begin my comment on Slide 15. The first-quarter revenue was up by 36.4% year-over-year to €19.4 million, an up by 22.9% from the previous quarter, representing the record quarter we ever had. This performance derived mainly from the organic growth from its existing customer base, the onboarding of new strategic customers in various jurisdiction, mainly the Netherlands, in the PAM, and managed service segment. In addition we had a strong revenue performance from Wild Streak gaming, a business we acquired in June 2021. From the KPI perspective, the total wagering generated via games and content [Indiscernible] (ph.) by Oryx and Wild Streak.  In the period was up by 0.8% from previous year, to €3.8 billion and with 23.2% growth from the previous quarter. As you can see from the wagering chart on the right hand side, the new German market restrictions on gameplay had an effect during Q3, 2021. But ever since, we have seeing a positive trends and momentum. Also, we know the last quarter we have continued to retain 100% of our customers since 2018. And while our customer retention remains solid, our dependence on top 10 customers had slightly changed. Revenue for our top 10 customers was up by 12%, to 75% of the total revenue, compared to 62% in Q1 2021. The trend we expect to improve over the next few quarters.  The gross profit increased by 60.7% of €10 million with margin increasing as well by 4.9 percentage points to 51.8%. This is primary attributed to higher proportion of revenue derived from our platform and managed services. Alongside with Wild Streak proprietary games revenue, which has no cost of sale. And this compared to license games and content, which have third party costs associated. The adjusted EBITDA for the quarter was up by 26% to €3 million with adjusted EBITDA margin reaching 15.3%, decreasing just by 1.2% from the same period in the previous year, but with an improvement of 5.5% points from the previous quarter. The decrease in margin is mainly the result of scale and improvement in the product mix of FAM and managed services, offset by the increased salaries and subcontractors cost. As part of the corporation strategy of investment in its expansion of its software development product and senior management functions.  Now turning to Slide 16. As I mentioned earlier, our entry into new markets, in particular the Netherlands, has been exceptionally strong coupled with new client wins and the ramping up with operators launched early in the year, we have a significant momentum to this financial year. During the quarter, the new '21, 2022 business revenue was up by 15% and 8% to quarter-on-quarter, driven by new market launches. Existing client revenue, excluding Germany, has also seen a marked step-up in growth from Q1, 2021, by 43%. But 6% drop from the previous quarter, but this is due to seasonality.  Wild Streak revenue was up by 35% from the previous quarter, as a result of strong performance of in-house build games. And the underlying recurring group revenue, including licensed Germany, increased by 22%, quarter-over-quarter. As you can see from the right hand side, representing the Q1 '22 underlying business revenue mix that is moving into Q2 and for the whole year, after offsetting the headwinds from the German market until the new regulatory changes took place in July 2021. So overall, the new business pipeline, new market entry, and more focused sales underpin the 2022 financial year revenue guidance. Slide 17, the gross profit expansion. As you can see from the revenue and gross profit margin slide, the gross profit margins are in the growth momentum since Q2 2020.  We're scaling up in line with the revenue growth and movement in the product mix as presented in the bottom of the slide. The product mix change since third quarter of last year and now trending towards PAM managed services and proprietary content, while improving gross profit margins and profitability. As we indicated in the past, platform and proprietary content products are carrying no third-party costs, which gives us the ability to scale up in gross profit margins. Department managed services improved the Q1 2022 gross profit margins as the result of strong performance of the new Dutch customers. In solitude, it's important to demonstrate our continued growth complemented by substantial margin expansion.  We highlighted a point of the proprietary content, the player account management, and the managed services, and this slide illustrates why it is so important for our growth and profitability. The gross profit margin in 2020 was 43% and the adjusted EBITDA margin was just 11.9%. As we were selling mostly third-party gaming content, while PAM and managed services, accounting of less than 11% of the total revenue. As we transition to higher proportion of platform, managed services and proprietary content, a change that started last year, you can see the effect in this quarter result with gross profit increased by 8.3 percentage points, and adjusted EBITDA by 3.4 percentage points, reaching 51% of gross profit margin and about 50% of adjusted EBITDA margins. As we look into the future, our target to achieve high gross profit of approximately 60% with adjusted EBITDA of 25%, as a corporation operating leverage expected to increase given limited growth in employee cost and other overheads. In Slide 19, the revenue adjusted EBITDA on this slide, I'll detail how we reconcile our operating loss to a positive adjusted EBITDA in this quarter.  Adjusted EBITDA amounted to €3 million and a 15.3% margin against an operating loss of €0.2 million. The GAAP can be explained by the following non-cash exception items; depreciation, amortization, and increase the intangible amortization as part of the Wild Streak acquisition in June 2021. The [Indiscernible] payment that was granted to the senior management in Q1, 2022 compared to DSU, composed of DSUs, RSUs and share options, and transaction acquisition cost associated with the corporation M&A strategy. Moving to Slide 20, at the end of March 2022, Bragg had a solid balance sheet and continues to deliver strong cash flow performance. Cash balance as of March 2022 was €18.4 million compared to €16 million at December 31, 2021, with no debt facilities in place. Networking capital was €12.6 million compared to £11.16 million in the beginning of the year.  We continue to project positive free cash flow from operations. And as a reminder, our business strategy requires little CapEx related to technology, and that's required. From a cash flow perspective in the three months ended in March 2022, we generated €3.8 million from operating activity while investing £1.2 million in software development costs as part of the investment in our technology. The 2022 guidance, we reiterate a full-year 2022 revenue guidance of €68 to €72 million and adjusted EBITDA of €9.5 to €10.5 million. With that, I will turn the call back to Yaniv following that back to the Operator so Yaniv and I can take your questions. Thank you.
Yaniv Spielberg: Thank you, Ronen. As everyone heard on this call this morning from Ronen and I, the first quarter has proven to be our best quarter on record to-date. We continue our strong revenue growth, which is driven by underlying recurring business in new markets, we successfully launched new proprietary content studios and expanding our exclusive game roadmap, we continue to grow our total addressable markets, which we project to reach $21.5 billion by the end of the year, we're increasing our gross profit margin, our adjusted EBITDA margin, which are all driven by changing in our product mix, and of course, we showed solid financial flexibility with a debt-free balance sheet, and so the strong Q1 2022 performance sets the foundation for continued successful execution of our growth strategy. With that, I want to thank everyone for joining us today, and I want to thank the entire Bragg team for a very successful quarter. And we can turn into the question section now.
Operator: [Operator Instructions]. Your first question comes from the line of Neal Gilmer from Haywood Securities. Your line is open.
Neal Gilmer: Yeah. Good morning. Congrats on the strong quarter guys. Maybe I want to start off with -- you've maintained your guidance and obviously it was a great Q1. Can you give us a little bit of color on the mentality of sort of maintaining that? Obviously it's a conservative approach. I get that it's early in the year, but is there some seasonality that we should be expecting that a little bit softer, Q2 and Q3 or is the pending Spin Games acquisition -- obviously this has taken longer to close than expected, sort of factoring in until you sort of get that closed and have more visibility to run through that revenue line.
Yaniv Spielberg: Thanks, Neal, and good morning. I think that you kind of answered the question that you posed. The answer is we're taking a conservative approach, but the reality is there is some seasonality that is built into our forecast. It's been a very strong quarter and we can say that the momentum is continuing into the rest of the year, but it's really early on in the year and it's difficult to predict what the rest of the year would look like. On the revenue side, it's simple. We're doing better than we're expecting and we are very confident and comfortable that we're going to over-deliver this year again. On the EBITDA side, we know that there is a lot of expenses that are going to be built into our U.S. rollout expansion, so we've decided at this stage to keep the guidance as is for now, and then we'll monitor the situation once we finish the second quarter. If it continues to be as strong as we expect, then we will update the guidance. Ronen, have I missed anything?
Ronen Kannor: I couldn't agree more, Yaniv.
Yaniv Spielberg: Good.
Neal Gilmer: Great. Thanks for that. Maybe just for my second question. Just to talk a little bit more about the strategy with respect to proprietary content versus partnerships. You had one on one of your slides there, what your target profile is. Can you give a little bit more color onto the -- how you think about why you have that mix versus going more proprietary, that obviously comes along with the higher margins. Is that just to diversify or just what you're thinking more long-term as you establish that proprietary content.
Yaniv Spielberg: And so look, if you recall on the slide -- on Slide 7, we talked about the benefits of proprietary and exclusive content in an ideal world. Of course, we want all the content to be proprietary to us, but there's limitations what we can and can't do. And if you think about the global expansion of the business, we need to have tailored approach to different markets that we operate in. Wild Streak is doing exceptionally well in the markets that it is. Atomic Slot Lab is doing exceptionally well in the markets that it is, but there's other markets that are German speaking, therefore, Gamomat does really well. And then there's roll outs in the U.S. where land-based companies like Bluberi will resonate really well with players. And so to be versatile enough and to have a good approach to a growing market, you want to have a lot of content that comes from mostly proprietary and exclusive, but you have to have some sort of a growth strategy where you kind of capture the rest of the world as well.
Neal Gilmer: Okay, great. Thanks very much. So I'll pass the line. Congrats again on a great quarter.
Yaniv Spielberg: Thanks, Neal.
Operator: Your next question comes from a line of Matthew Lee from Canaccord Genuity. Your line is open.
Matthew Lee: Hey, morning, guys. Congrats on the quarter as well. So let's maybe talk about the growth drivers here. It seems like Germany is probably flat. North America really hasn't taken off the ground yet. So what's kind of pulling the light in here?
Yaniv Spielberg: Ronen, do you want to take that?
Ronen Kannor: Yes, thanks. Good morning. Good morning, Matthew, how you doing? So we had the -- again, was an exceptional quarter. As continued with the fourth-quarter, we think that the Dutch market is performing well, more than we expected. As you remind there, we have couple of operators. Among them we have 2 platform customers performing exceptionally well. As you rightly said, Germany is actually relatively flat as according to our expectations. License haven't been improved yet. Only one was approved a few days ago, waiting to see how the market is evolving.  We still have a lot of lineup customers still operating on the German market, so I think it's going to be when the news will come into next few weeks, hopefully, we will be able to see probably more traction there. And as you rightly said, the U.S. market is still not operational from our perspective. Waiting for the Spin transaction to close and then we'll be full speed over there. So it's just a rick up, it's the Dutch customers which are performing well. Also, we have other jurisdictions that we are starting. In UK is performing well, according to our expectations. We have other markets that we're enhancing and we're rolling our continent in. So it's all a mixture, but with the highlight that the Dutch market is performing, better than we expected.
Yaniv Spielberg: And Matt, I want to add one last thing. It's a pretty positive that Dutch -- sorry, the German government had issued a license so far, which I think is on track with what we were hoping to see. Some traction with licensing in Q2 and Q3 and for the rest of the year. And so, we're hoping that the relatively flat line that we forecasted for the Germany market will start picking up again once the licenses are issued and enforcement carried.
Matthew Lee: Right. That's great color. And then maybe on the North American front, can you just give us an update on the progress you're seeing, particularly in the Ontario market that just opened?
Yaniv Spielberg: Yeah. So the Ontario market has been open for a month now. We have one agreement that we discussed in the public market day-to-date agreement. We have a lot of other agreements in the background that we're working on and finalizing. And so the agreements with the operators is one thing and the second side of this equation is licensing and certifying our proprietary and exclusive content for the Ontario market and certifying our platform for the Ontario market. We're in the final stages of doing so. And we internally believe that next month in June, we will roll out a lot of big operators that everyone would know and some of our proprietary content that has been doing really well in the rest of the world.
Matthew Lee: All right, that's great guys. That's it for me.
Yaniv Spielberg: Thanks, Matt.
Operator: Your next question comes from the line of Adhir Kadve from Eight Capital. Your line is open.
Adhir Kadve: Perfect. Thanks, guys, and congrats on the quarter here. I wanted to touch on your iGaming, the platform strategy. I know you obviously pointed out that you're seeing a lot of interest in the platform strategy in the Netherlands. But maybe what about some of your other jurisdictions that you've entered into? Do you think that the platform strategy could become maybe more important to the overall strategy as we move forward?
Yaniv Spielberg: That's a great question. I think that it's important to note that the iGaming platform strategy is important for the business overall, because when you own the iGaming platform, when you do the full turn key solution, you're getting a percentage of rev share for all the services that come around as well. You're talking about the content, you're talking about the managed services, you're talking about the player engagement, you're talking about the player account management and so it presents an immense opportunity to, on the one hand, increase your revenue, but also increase your profitability as most of it is tech.  You mentioned correctly that in the Dutch market that it worked really well, and I think it's a function of how the Dutch market transitioned from gray, black to white. We see a similar effect in other European markets. We have a platform customer in the Czech Republic that is going to go live, and of course we have a lot of platform customers in Germany waiting to go live once the regulation takes place. For the North American market, it's slightly different because I think capital markets, for the most part, dictate for big operators to own their on platforms, and therefore, you see the big guys dropped king spend to that MGM owning or having exclusive ownership of the platform.  It does give us an opportunity with land-based operators going online for the first time, and we're in various discussions with some of these. And it also gives us an opportunity for some of the operators that are transitioning from a gray slash black market to a white market where their platform is not certified for the white market and they'll be looking for a platform that can carry them through the white market -- or at least the licensed markets. And so it gives us an opportunity to actually own a bigger value of the chain.
Adhir Kadve: Great. Thank you. Appreciate that. For my second question, I wanted to ask just about the Italian market entry. You had mentioned, I think on one of the slides that you intend on going live in the Italian market later on this year. Given that's the second largest gaming market in Europe, what are your expectations for that market? Would you have like a similar strategy to maybe the UK market given the similar levels of maturity in that market? But I'm just thinking that could be a pretty big part of your strategy as well going forward. Maybe your thoughts on that.
Yaniv Spielberg: So you're right. I mean, the Italian market is a mature market. From a licensing and certification standpoint, it's slightly different than other markets that we operate in because most of the regulatory burden is on the operators and therefore, it takes a lot longer for the operators to certify B2B providers. We've signed a deal with Microgaming to deliver our content to them. It's really on them to get all the paperwork and certification ready for launch. We're expecting to launch to come as we said in the third quarter. But the approach in the entire market is similar to the UK market as you mentioned, is to sell content, and therefore, going back to Neal's question, localized content becomes really important because we don't typically produce content or we don't produce proprietary content for every market that we're in and therefore, partner exclusive studios become important in these markets where we can get tailored content for these markets that will resonate well with the players in that market.
Adhir Kadve: Perfect. Appreciate all the color. Congrats on the quarter guys. I'll pass the line.
Yaniv Spielberg: Thanks Adhir.
Ronen Kannor: Thanks Adhir.
Operator: Your next question comes from a line of Sid Dilawari from Cormark Securities. Your line is open.
Sid Dilawari: Hey guys, thanks for taking my question. Maybe if you can talk about some of the specifics regarding the regulatory hurdles you're facing while closing the Spin acquisition. I know you guys are working towards adding -- hopefully you should be closed by Q3 based on your guidance during the call. But maybe if you can give us some specifics as to why it's taking so long because having a mission, we already announced this acquisition was supposed to be closing in Q4?
Yaniv Spielberg: Actually, I'm really happy that you posed the question because I want to set the record straight, and I think that when we did the transaction back in the day, there was some indication from past management that the transaction will close in Q4. But for those of you who are well versed in U.S. regulatory framework, especially as it relates to iGaming and sport betting, you will know that in the U.S. licensing regime is very, very complex and it's on a state-by-state level, so every state where we're applying for has its own regulator, whether it's DG in New Jersey or the Michigan Gaming Control Board or the Pennsylvania Gaming Control Board, or Connecticut.  It is well known that Pennsylvania is strict, it's very strict. And licensing in Pennsylvania takes anywhere between 12 to 18 months. In Pennsylvania, unlike other jurisdictions, say New Jersey or Michigan, there's no such thing as a transactional waiver. And so in Pennsylvania, you actually have to get fully licensed. And when I say fully licensed, it's all personnel senior management, so CEO, CFO, COO, myself, and others, and then every entity in the organization from the TopCo Broad Gaming Group, all the way to the R&D development company in Malta. With that said, you can imagine that it's taken a long time to get all the paperwork sorted. Someone sent me a screenshot from the Pennsylvania Gaming Control Board yesterday.  We've submitted our applications to the Pennsylvania Gaming Control Board in August of last year and we've gone through the process of interviews, discoveries, whatever else they need to do. The process hasn't taken longer than what typically takes for Pennsylvania. I think it's about the expectations that we're set to the market. And so Sid, thank you for doing it. We're of the view that we're almost done. We've done all the interviews. We've submitted all the documents that have been sitting on the Pennsylvania Gaming Control personnel for approval and to be sent to the board. We're hoping to hear back from them and to be put on the agenda for the May 18th meeting. And if we are on the May 18th meeting and we get the license, then we'll be fully ready to close the Spin transaction. So I appreciate the question. I think it's good to set the record straight on that.
Sid Dilawari: Okay. Great. Thanks. Thanks for the color there, that's really helpful. And then just in terms of your TAM slide here, I guess back half of the year is more weighted towards like the growth through largely driven by North America, Italy, has already new market launch when you talked about during the third remarks, but just talking about the first half year, is there -- can you maybe talk about that sort of [Indiscernible] driven largely by the UK, and maybe if you have some initiatives going on there to have some new launches in the UK market. Maybe just talk about Netherlands on how's the model performing? I know the last few quarters has been really strong. So if you can give some color on that that would be great.
Yaniv Spielberg: So I think that the answer is -- well, the Dutch market has been performing really well for two quarters. And then it's pretty much have gone live in Q4 of '21, and it continues to perform really well in Q1 of '22. As the Dutch market expands, and when I say expands, as the regulators issue more and more B2C licenses, we're actually on-boarding more and more customers. And so proportionally, we feel that we're still a very big chunk of the market and I think about 20% of the gaming markets in terms of the GGR. It has been a very good launch and we've taken what we learned from that market and we're applying it to other markets. So we've launched in the Czech Republic and it's been going quite well.  The U.K. market is different as we discussed earlier from someone else's question. It's a mature market, so the opportunity for PAM and iGaming platform are more rare. And so we're doing a content first approach in that market, and it's very similar to the Italian market. And so I think the growth that you've seen so far comes from the new markets that we've entered in 2021; the Dutch market, the Czech market, some U.K. market, and the growth that will continue in '22 and onto '23, you will see growth in the North American market, Ontario market, BC market, and of course the U.S. once we close the Spin transaction and get the licenses and the certifications to go live.
Sid Dilawari: Okay. Great. Thanks. And just one last one from me. How is the search going for a CEO here, any updates or progress to share on that front?
Yaniv Spielberg: Based on the latest information that I have from our Chairman, the search is almost done. I think that they zoomed in on the top candidates and it's just a matter of agreeing or negotiating on terms. Based on what Paul Godfrey had said to me, it will be done this month.
Sid Dilawari: Okay, great. Thanks, Yaniv. Thanks for your comment. That's it, I'll pass the line.
Yaniv Spielberg: Thanks.
Ronen Kannor: Thank you.
Operator: Your next question comes from the line of Lisa Thompson from Zacks Investment Research. Your line is open.
Lisa Thompson: Good morning.
Ronen Kannor: Good morning.
Yaniv Spielberg: Hi, Lisa.
Lisa Thompson: Hi, there. I have a few questions about first off Spin. From the date of May 18th to -- how long is it going to take for you to start booking revenues from Spin?
Yaniv Spielberg: Ronen? In terms of -- Lisa, do you refer to the closing of the transaction or in terms of the accounting?
Lisa Thompson: Well, you said you were trying to get on the agenda for May 18th. If that happens, how long does will take from that day to start showing Spin revenues?
Yaniv Spielberg: I understand. So Ronen will correct me if I'm wrong. There is revenue in Spin already. And so assuming that we close -- assuming that we're on the agenda for the May 18th, and we closed this month, we'll start generating revenue as Bragg from Spin on day one because that revenue will become Bragg revenue.
Lisa Thompson: Okay. And then what happens after that, as far as rolling it out?
Yaniv Spielberg: So the plan for us, we've been working closely with Spin since we signed the deal. We've gotten our platform certified, but we're working on getting the platform certified by the regulators and the labs, whether it's the DGE or GLI, and then of course, getting our content on their RGS and their content on our RGS so we can upsell, cross-sell to their existing customers, which are the biggest U.S. operators: the DraftKings, the FanDuel, the BetMGM, the [Indiscernible]. And so once we close the transaction and we're one of the same, you will see cross-selling and up selling of our technology and our content to the Spin customers.
Lisa Thompson: Okay, sounds good. So Ronen, so you say that Q2 is typically down 5% sequentially. Does Spin closing, or any other factors change that this year?
Ronen Kannor: No, Lisa. We assume that we will win, Spin will close. We assume the benefits of May with the latest that [Indiscernible]. It doesn't affect the Spin one specifically this seasonality we applied for the main business. But yeah, we'd normally think Q2, Q3 slightly lower than the quarters of the first and the fourth. And Spin, there's no change in our assumptions for Spin revenue. Consolidated effective for the first of June.
Lisa Thompson: Okay. Great. And I was -- didn't really get to read the whole MDNA yet, but I was shocked to see that Netherlands was almost half of revenues. Is there any differences in gross margin between the geographies, or is everyone pretty much the same?
Ronen Kannor: No. First of all, it's a good question. So we are making better margins in territories or in states or in countries where we're rolling our PAM and managed services. This makes a lot of sense because when we distributing our content and also we're leveraging our technology enhanced services, we can increase our -- part of our wallet from a customer and actually increase our margin. As you know, PAM enhanced services have no cost of sale. Also our proprietary content doesn't have any cost of sales, so that's makes a lot of sense.  In other countries, as Yaniv mentioned, we see UK and we're going to be in Italy in the next few months, and other markets, we're selling only aggregating forms and our third-party or our IGF content. Definitely there is difference in your margin perspective. So if we look at the 2022 focus where we actually -- what we budgeted internally, we have new rollout of PAM customers in Netherlands and other markets in Europe, and in Germany, we have as well, so I know Germany haven't been licensed yet, but the more platform we have out there, plus in Europe we are already familiar with certified platform, we're using one particular license and localized in everything license we're operating, which will increase the leverage signal.  Having said that, coming with exclusive content, as we build in with our electronic flag and our Wild Streak studios, It's also game changer because it felt only we're getting better margin, the quality of the gains proven to be top of the scale as we're seeing. So it's a combination of the two, it's not one against the other, it's both. Of course, when we have [Indiscernible] how to manage the customers, there is some logic to push our content as well we have relationship with those customers, we're running the operation for them, and so it makes a lot of sense. So it's all adds on as one after another as one plus one plus one plus one, eventually they're more than 0.5 or six. That's a concept.
Lisa Thompson: Sounds complicated. You stated what your gross margin goals were. Where do you think you can get to by fourth-quarter?
Ronen Kannor: We indicated in 2024, we are going to be 60% gross profit margin and about 25% of adjusted EBITDA. If you look at this quarter, we finished around 52% and 50% of adjusted EBITDA. I don't think that -- I think that by the end of the year, we aiming towards the 55 - ish from percentage gross profit. Again, when we rolling mobile games will have more customer like the U.S. customer to roll-out games. We believe within push that currently it's quite low 3%, 4% of our revenue.  Also, when we have roll-out of those player account management customers, which is the same question I answered before. We're going to see improving margins, it's going to be more towards the third quarter and fourth quarter and we might reach the 55. And then when we're going to have one of the slides getting presented about the game roll-out when we have 12 games proprietary in Europe and in U.S. for 24 together. Next year we're going to do even double. So what's going to happen, more proprietary content, we'll push even further up so we're going to get to the 57-58.  That's how we actually building the building blocks of our gross profit margin. With gross profit margin, with increase of revenue projection, your adjusted EBITDA will automatically move from the 50% to the 25%. Because with leveraging, we already have enough -- everything is built in house. We have the content, we have the player account management, we have the managed services, and we have the entire management already and to the entire organization built in. The oppression costs will remain relatively flat, growing slightly higher but then the scalability of the business will be very well presented.
Lisa Thompson: Great. Thank you so much for that. That's all my questions.
Yaniv Spielberg: Thank you, Lisa.
Operator: And there are no further questions at this time. Mr. Yaniv Spielberg, I turn the call back over to you for some closing remarks.
Yaniv Spielberg: Thank you, everyone. I would like to thank everyone that joined the call and we'll see you again in our second quarter.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.